Arnd Kaldowski: Good afternoon and in the room here. Welcome to the sunny Stafa to keep the people on the call. I hope they also have a sunny day. Thanks for joining for the full year results, 2023-'24 of Sonova. I'm here together with the IR team and Birgit. Birgit will later go through the financials and will be with me on stage with regard to the questions and answers. Regular disclaimer. Everybody knows the content. Therefore, I'm not going to read it, but please take note. We intend to spend about 35-ish minutes or so in the presentation, then we have ample time for Q&A. You all had a chance to get the material to be uploaded, therefore. There's lots of material in the background and the backup for people who want to dive deeper into numbers. From a summary for the last fiscal year, a couple of highlight items here to keep in mind. First, the hearing care market has been for the full year, if we count the numbers in unit volume and assumptions on price back to historical growth rates. So somewhere in the 4% to 6%, slightly higher in the second half, significant regional differences. North America was clearly faster in growth than Europe. Although in many European markets, we see good growth, but Germany and France were more muted. U.S. and Canada, probably more a year-over-year effect because in the year before they really went deep under the high inflation environment. But I think we're through the inflationary concerns on our consumers, at least for the Hearing Instruments and Cochlear Implants, I'll comment in a second on the consumer hearing business. From a Sonova perspective, when we met last time, we were at the end of the first half year, and we said we're expecting to pick up in the second half year, particularly in the hearing instruments business, and that's what you're seeing in the numbers. We ended on a positive note. The Q4 was even a little stronger than the Q3 performance. We don't share it in numbers, but at least in the voice over, I can say that. And if you look at the numbers, the Hearing Instruments business and the Cochlear Implants business with a significant acceleration from their growth. And on the Hearing Instruments, even if you take out the contract loss from a large customer, which only was relevant in the first year. The audiological tier business continued on a strong growth rate, slightly lower. I'll comment why that is when I get to that business. And then the place where we have seen quite some difficult environment and headwinds was the Consumer Hearing business. And we'll get to the dynamics there between market growth and some product issues we had. I think everybody remembers our biggest, allow me to say rallying cry was needing to build back momentum in the Hearing Instruments business after 12 months, which were more muted, not just the contract but also some temporary challenges we called it. When we look on the customer feedback and then also mirror in the growth rate, even while "only launched" additions to the Lumity portfolio was pretty positive. And so I think we delivered on that dimension. Clearly, FX in the last year as in the year before, significant headwind if you look at the revenue as well as the EBITDA in Swiss franc. Only positive, and you've seen that in the guidance for the year, a slight positive year-over-year in the way we enter into the new fiscal year. Obviously, it's hard to predict. Otherwise, we would be doing other things. I guess, but in general, clearly, a better starting point than last year because there we could already see kind of the headwinds. From a -- going into the fiscal year, I think, coming with good momentum out of the Q3 and Q4 momentum pickup we've seen, but also obviously coming to a year, which in our normal cycle is the launch of a platform which, in our eyes, is a very significant step forward in this fiscal year. Highest level numbers, 3.2% on the growth side for the full year. Second half was 4.8%. You see the acceleration there. You can see the significant impact here from the Swiss franc. EBITDA at 4.4%, so slightly higher than the top line growth showing a margin expansion of around 25. We had 20 in the first half, 30 in the second, in line with what we've done in local currency in the years before. We always try to achieve some margin expansion while we continue to invest in the growth on the organic side. EPS is better than the EBITDA. Now important one, obviously, on the guidance and our perspective for the full year. We look at a 6% to 9% top line growth. We look at the 7% to 11% EBITDA growth. Again, you see the ambition to drive margin expansion, why we deploy efficiency productivity but also grow in the high-margin business, but leave enough space for growth investments. Now this is in line with the midterm targets we have published assuming the market to be four to six, that's our current assumption also share gaining element here in the guidance. I will not go into all detail on the pitch. We like the pitch because it covers so much, but then we unpeel the onion later. Therefore, along those focus here on a couple of highlights, Hearing Instruments 0.7% growth in local currency, if you correct for the lost contract, it would have been four. But clearly, the acceleration into the second half, stepping up to 6%, first half was 2.4%, correcting for the lost contract. So you can see 2.4% like-for-like versus 6%. So the pickup we had expected. Audiological Care 9.2, good balance between organic and the M&A contributions, deployed another CHF100 million in the bolt-ons. That is in line with what we've done the two years before. HYSOUND, obviously, not a bolt-on. We're running normally at a CHF100 million capital deployment for network expansion in the markets where we're already present. Consumer Hearing, a significant headwind here with minus 9%, continued weak demand, but also a product issue, which I'll voiceover later. And then on the Cochlear Implant, 3.6% for the full year, but that represents an 8.2% for the second half. So clearly, a pickup there from a momentum perspective. More on the system sales, keep in mind, process are followed, a very different logic when you launch a new process if people were waiting for it. So you sit on a high jumper point and from their decays to a degree. Hearing Instruments segment, you see the EBITDA performance with the 30 basis points, pretty much in line with the whole organization, given that this is 90% of the total, you can see the size of the businesses here. I think on the segment profitability because we don't comment on profitability by business basis points despite the, what we call, higher investment into go-to-market for the second half, which we did lead generation, some flexibility on pricing on the Hearing Instrument side. But the continued focus on efficiency, also easing of transport and component cost, also a good impact from improving reliability, which ultimately translates to lower service costs had a positive impact here. Going to the Hearing Instruments business, 0.7%, the four I said before, organic growth accelerated to 6 versus the 2.4, which it would have been corrected for the large customer loss and we really followed the playbook, and we benefited from the things we said when we met at the first half year results, reliability improvements continued with new record rates on the Lumity, which I'll share in a second. Very strong performance on anything the customer worries about from a customer satisfaction in your delivery but also approachability of your call centers. When I look at the Q4 versus Q3 dynamic, the market was stronger in the somewhat weaker in the Q4, I think there's some type of point discussion because the calendar Q1 in 2023 was already a good number. But our growth in the Q4 was even better than the 6%. So you can see that we had a gradual share position improvement Q3 to Q4, which I think gives us some confidence coming into the new year that we fix the issues and even with the current product, we're in a good spot. Some more insights on the issues. We voiced them over, but now we have some evidence on what's happening. Starting on the right-hand side from a reliability perspective. The Paradise, you may remember, we said was already better than the Marvel. And then we got to the Lumity. There was concerns in the market on our reliability. We did say for three months, we had a little bit of a flare up there, not that much. The Lumity was 30% better than the Paradise. And in the last year, we were even finding ways because we started to work on existing products for forward shipment meaning we're making improvements on the technology even if the product is a year old. We don't do that as a feed upgrade, but we do that for the forward shipment. You see additional 30% improvement of Lumity today versus Lumity year ago. If you do 2x 30% and you end up at almost 50% lower failure rate from Paradise Lumity today, right? So what you can see mindset-wise, we have changed the approach we're spending significantly more resources on -- before we launch, but also when we have launched. And with that, we do believe that we're in a very strong position with regard to reliability relative to our own products, but also the market. On the left-hand side, you see the Net Promoter Score over 12 months. This is the four largest markets. That's where we measure every month and other ones we do every quarter. And you can see that while 25 to 30 was not a perfect place, we're now getting close to the 50 in the U.S. at 60, which is based on many changes we've made from a process and a resourcing perspective. And for us, that Net Promoter Score goes very clearly with our ability to win competitive accounts or to lose customers who may look at somebody else, right? So delivered in our eyes, measured in the revenue pickup but also in the internal drivers. Obviously, it's enough to sustain a high performance here. With that, I want to move over. This is not a product launch. Therefore, I'm still not at a place where I'm going to tell you exactly what we plan to do, but I just want to give you some confidence in some directional guidance. We have invested over the last five years in run rate R&D spend about 60% more. That needs to go somewhere. It's not that we just spend it without an objective, right? And so what was a big focus of ours was accelerating, elevating the processing power of devices, the data processing, different type of algorithms because in order to get to a significantly better speech to noise ratio, which ultimately makes the difference for hearing in noisy environments, we think we need a different type of technology available. And that's what we were working on for the last couple of years. So expect the launch to be very focused on significantly better hearing and noisy environment, which is relevant for our customer groups and also some incremental improvements on the ease of use. With that, we feel we have something meaningful to launch in the fall. Obviously not done with the development. Otherwise, we would have launched it by now. Therefore, no expat today, but certainly more to come and something we're excited and waiting for since quite a while. Moving on to the Audiological Care business. I talked about the numbers here, unpacking a little bit the first half to second half of the first half was around 11%. Second half was slightly above 7%. 2.5% of that is purely organic -- inorganic because the HYSOUND came in, played for two quarters in the first half year, but only one quarter in the second half year and that was a meaningful size acquisition. The other 2% are mainly driven by China being strong in the first quarter after the COVID restrictions were taken out and a big positive in Germany from a revenue recognition perspective with the [indiscernible]. But otherwise, if you look at the other markets, we're looking at similar growth rates first half to second half outside of China, Germany and the HYSOUND fading issue, right? The generation was higher, but in line with what we had expected. And I talked about the bolt-ons we've done in the AC business. Quick update on China. Obviously, the largest high-growth developing country still in the world of 3% penetration. Obviously more volatile right now, given all of the ongoing discussions and concerns on the macroeconomics. But if I just look at 3% penetration and an aging population and an increasing income per capita still going to be an important market in our world. With our HYSOUND acquisition, we see good execution with regard to the integration. We now have a complete management team. All of them are local. Some came from Sonova, some came from HYSOUND, we hired some from the outside and they have brought the whole thing together, including the activities we have before. And when we look at the growth rate, we're clearly ahead of the market in our growth in High sound, although we don't publish the number. We're in line with what we assumed at the acquisition. The market is a little bit lower. That's the volatility I talked about. And from here, it's about expanding the network, elevating the consumer experience in the way we think we can evolve the service model there. Coming to the more negative picture from a first half to second half, consumer hearing business not expected to ask the second bullet point with regard to we had detected issues with battery for the MTW 3, which is the largest revenue category. From there because we didn't like the quality stopped selling for a period. So for four months, we didn't have the revenue. The MTW 4 was launched in February. That was in line with plan. But for four months, we lost the revenue which the only positive in that one is -- that will be helpful for this year because we do think that we will ship the MTW for 12, right? [indiscernible] change the battery supplier either way from one product to the other. We think we're in good hands there. In addition, the consumer electronics market has two dynamics. The one is sell-in and then a sellout dynamic. On the sell-out side, the market was negative in the first half of the year started to turn to flattish. We see that in the GFK data, which is the sell-out data. We're in line with that growth even with the quality problem we had. But on the cell inside, and I think you'll see that also with other people who publish in that segment, they all showed very negative numbers. I think on what they hear from the channel is everybody was quite busy to try to get their channel inventory down, not just a Sonova issue. Positive in that, if the sell out is better than your sell-in, it should be indicating that times will get better. When we look at market share outside of the true wireless, the MTW 4 now and the other three categories, audio, Bluetooth headband and the TV listeners, we did win market share based on GfK data. So not feeling bad about the product portfolio of the market as well as our quality issue there. Second big positive from first half to second half, our Cochlear Implants business first half wasn't particularly strong. But if you look at the second half, growth was 8.2%, coming from minus 1, 11% on the system side, which is a good number for that market. How did we get to the 11%? In some improvement in market, we launched new functionality, most important, the remote programming, but also have seen continued progress on the lead generation through our own stores but also for not loyal customers. Upgrades and accessories turned slightly positive, although for the full year, they're showing negative here. So probably a little bit of a reversal there coming to more of a stable level after two years post the launch of 2.5 years. And from a profitability perspective, the second half year was at 15.3%. So getting to that 15% we talked about with the ambition to go gradually [indiscernible]. A quick note on remote programming. Very similar functionality as on the hearing instruments but more relevant in the cochlear implants. You can do hardware checks. You can do all of the adjustments when you are a part. We're the only company who can do that in the market for Cochlear Implants, the technological capability we have because we're using the Phonak technology with the Made-for-all-phone, and the Phonak in the background. Other people can't do that. And it's a bigger thing in cochlear implants than for hearing instruments. Why? People have to come a lot more often. We normally say six times a year, pediatrics, 9 to 12, an often longer distance because there's far fewer specialized audiologists who can do [indiscernible]. So a very positive reception here, and I think it helps us to get more statements. Last area I want to go through quickly on the ESG highlights. I know it's important for everyone and for some, even more. Therefore, I just point towards the ESG report, which is quite extensive. 17 KPIs, which are our highest priority list. I want to highlight three here. Greenhouse gas emissions, good progress, not just with the '28 versus 2019, but 12% year-over-year. On the social side, the second bullet point here of women in senior management and the middle management significantly improved a lot of focus from us on getting more "diverse balance", you want to call that. And then the last one on the governance side. In two years, we come up to needing to audit all of our ESG results. Mindset-wise, we want to be there next year so that we have some safety was also when the feedback we hear from the auditors on our maturity. Now that's all interesting because everybody can publish numbers. So indices are also interesting. I think it's good to be able to share that if we are comparing in four different indices, Dow Jones being one of them in all four were amongst the top 2% in the medical device and health care environment. So we feel good about our progress, but also position. With that, I want to hand over for Birgit for the financials, and then I will come back to the outlook section.
Birgit Conix: So good afternoon also from my side here in Stafa and also for the people on the line. So let me dive immediately into the financial highlights, and I will keep it brief, as I said, we want to keep the presentation as short as possible so that there is more room for questions and answers. So sales at CHF3.6 billion, as was already mentioned, up 3.2% in local currency and of that, when you look at the organic growth, we ended at 1.6% for the year in local currency. Now if you correct for the nonrenewal of the larger contract that would have been 3.2% of organic growth in LC. Now then looking at the profitability. So we are very pleased with the gross margin development at -- as you can see, we improved by 210 basis points, and I'll come to that later with some more details. And then the EBITDA improved by 25 -- the EBITDA margin improved by 25 basis points, also in local currency. So here, again, as a result of our continuous improvement and it's also what Arnd already alluded to. The EPS up 6.4%. So better growth rate versus the EBITDA adjusted that you see there of 4.4%, and that is primarily due to a onetime tax effect. Then you also see here very clearly, the substantial FX headwinds at almost 10% decline in EPS, and we see that throughout all of the numbers. And just to give a perspective on the sales, this was CHF233 million. You'll also see it later, but that's really a big one here. And then on the EBITDA, almost or actually slightly over CHF100 million. And then coming to the operating free cash flow. There, we saw an impact of CHF113 million. But here, we were able to offset this. And so on the free cash flow, the operating free cash flow, you see that we slightly increased by 0.7% year-over-year. Then moving to the balance sheet. Our leverage ratio stands at 1.5x, and this is back into the target 1x to 1.5x. And then also in '23, '24. So we didn't buy back any shares, but we do expect to resume a share buyback, but more towards the second half of fiscal year '24/'25. So then moving to the sales -- onto the sales component. So here, you see the 3.2% in local currency, the growth and that is evenly divided between organic and M&A. And then if you look at the bottom end of the slide, you see that there is a significant acceleration in the second half with 5% growth. And if you decompose that and you take two business units out and it was mentioned already before, but hearing insulins was at 6% in the second half and cochlear implants at 8.2%. So you see a clear acceleration while if he was more balanced throughout the year. Then here, you see the FX impact. I don't need to go into that any longer. Let me quickly skip to the next slide. So then the gross margin development. Here, you can see the 210 basis points, which is primarily is organic. And you see that the items that you listed on the right there, you do have a residual impact from the price increases if it's more in the first half of of the fiscal year '23, '24. Then you also see the shift in business mix that always gives a positive impact. So here in '23, '24, we had audiological care with driving the substantial growth and the hearing instruments growing much less. And that always has a positive impact on the gross profit because Audiological Care has a higher gross profit and then has a negative impact on the OpEx development, and we'll see that on the next slide. So that's the shift in business mix. And then we also saw a big improvement in gross profit from repairs. And Arnd already talked about that. You saw the 30% improvement and also the continued focus on that. And then we also improved on transportation and on component costs like every other industry and also many other companies. Then next, the operating expenses. So here, you see an increase of 7%. And then you see the split between organic increase and the M&A increase. The organic increase is 5% and that we've seen on the higher side, given our top line. But that is, as I explained already earlier in the previous slide, it's due to the audiological care growth compared to the hearing instrument growth. And that gives a specific dynamic in the P&L because it's mostly related to Audiological Care. Because if you look at the right-hand side, so there you see the -- on the slide, you see the R&D expenses. They remained flat and as a percentage to sales, that's roughly 6.5% of sales. If you actually take the R&D as a percent of sales on the hearing insulin sales, that would be closer to 10%, and that allows us to keep is to sustain these levels of R&D, investing in innovation, which you will also see materialize later in the year with our new launch. Then. Sales and marketing, up 8%. So that's again due to the shift with Audiological Care having a higher share and then G&A plus 11%; and here equally primarily Audiological Care and investments in IT infrastructure that is what drives that position in the OpEx. Then moving to the EBITDA. So here you see, organically, we improved by 50 basis points, and we believe that is a good statement of our ambition to always grow basis points organically and well, also obviously on the total, but definitely also organically, and we were able to materialize this year as well, and there is an acceleration in the second half as well. Here, as you can see. Then on the adjustment. So the CHF47 million. So a big part of it, CHF24 million is restructuring. We also have the Mexicali, also the operations in Mexico that's part of it. And then you also have some integration costs and then also legal costs included in there. Then the FX here, I already talked about that, that's the CHF100 million. Then the cash flow development, which you see here. You see the CHF113 million that I talked about and the -- going from CHF923 million to CHF809 million that if all the -- that is the operating free cash flow before the changes in net working capital. And then you see the cash outflow due to the change in net working capital at CHF66 million. So that is an improvement of CHF18 million. And then you see also the CapEx at CHF129 million. That's an improvement of CHF25 million. And then you see some other items with CHF10 million improvement. So there you see that we end slightly better versus our position last year. And then the last slide here on the financial section, which is our total sale return and capital allocation strategy, remaining unchanged. So we keep on -- we are very consistent with the strategy. So first, in terms of capital deployment, acquisitions, then attractive dividends, healthy balance sheet and share buyback. And here, you see it was also mentioned earlier already, the cash out on M&A was approximately CHF100 million. Then on the dividend, we will stay around 40%. And this time, this year, it will be 43%. So in terms of Swiss franc 4.30. And then the leverage ratio, again, I mentioned that already 1.5x. And then important on the share buyback is that we expect to resume in the second half of '24,'25. So with that, Arnd, I'd like to hand back over to you.
Arnd Kaldowski: Thank you. So briefly on outlook and the rationale. First, we have not changed the strategy. We still execute on it, although there's obviously adjustments as we go. But you've seen significant investments into leading in innovation or geological performance and consumer experience. you see expansion of the consumer access through the bolt-ons on the Audiological Care side. Clear focus on how do we improve the value-add and the perceived relationship with the B2B customers, not just on the interaction and the high Net Promoter Score, but also through significant improvements in reliability, which ultimately, if you do that significantly better than the competition becomes quite important to give you a number in an audiology store, people spend 20% to 30% of their time just repairing staff. This is an industry where we don't have enough staff, right? So ultimately, quite important, particularly for the [indiscernible] with retailers. And then you see in the China discussion high growth development. Guidance for the year in line with the midterm targets. We believe these are good midterm targets. We think the market is in a normal state, 4% to 6% at this point of time. And in that, we should be able to grow 6% to 9% continue to expand the margin. We went deeper on the key focus areas. So for the guidance for this year, market North America coming down to a more normal growth level, not the elevated before some pickup in Europe, including France and Germany, which should normalize more they had onetime events, which had an impact in the last year, they should grow at least in a year-over-year out of the system. We expect to benefit from a strong platform launch. As always with platform launches, they do come in the fall. You have the launch cost in the first half year and even product which over time gets a little older. So expect a stronger growth on top and bottom line in the second half than in the first. Restructuring and integration costs, CHF million to CHF40 million, similar, slightly lower than this year. And then on the currency side, slight positive, as I pointed out, at least if the currency exchange rates would stay where they were in May. Unfortunately, we can't predict it. But last year, you would have seen significant negatives coming into the year. With that, I think I would like to open it for Q&A. And Birgit wanted to join me, I think. One more slide. So you wanted to do that before the Q&A, just from a marking your calendars, we do plan an Investor and Analyst Day in person in Stafa as we have done in many years before last year, we moved into not every year mode. But this year, we'd like to invite you back to more update on our strategy. Now I can go to the Q&A. I didn't see that Q&A comes after the chart, sorry.
A - Thomas Bernhardsgrutter: So we will start with Q&A here in the room. Please wait for the microphone so the people on the webcast and on the call can also hear your questions.
Unidentified Analyst: I have a couple of questions, and I will start with your restructuring charges. We've been looking at restructuring charges ever since 2016, '17. And it bears the question whether you should really call it sort of restructuring charges or it's part of your operational costs and it wouldn't be more transparent to guide on what the absolute level of EBITDA? That would be my first question, please. My second question is you talked about the positive impact on gross margin from the lower failure rate. Is there more to come from that impact in 2023, 2024? And the last question would be on the phasing of growth. It's clear that a product -- a new product is going to accelerate growth, hopefully, and result in market share gains. But how big do you think the H1 versus H2 should be? What is your internal expectation?
Birgit Conix: I can already take restructuring charges. And yes, we've been looking at that. Because if you look at '24, '25, we believe it will again be like between CHF30 million and CHF40 million. So you're right, then it's about -- I mean, it's slightly less, but it's around to them. So we've been talking about this together. So we'll look at it for the future, whether we cannot just consider it despite of our regular numbers. Yes. So solid point.
Arnd Kaldowski: On the margin side from a reliability logically, if we continue to improve 20% a year ultimately, yes, you [indiscernible]. I think we've seen that over the years. I think, therefore, we also expect that go forward. We've paid also particular attention to the cost of repairs in the last two years. So some of the improvements were coming from there and should continue to pay into the gross profit. On the first half, second half, I don't have a specific number. I think if you go back, you're probably and go back to historic launches. It depends a lot on how competitive products are perceived in the phase while we don't have a new product and then how it lift is at the end of the day. But I would venture to guess here somewhere -- and keep in mind, the hearing instruments business is less than 50% of the total, right? So you're probably somewhere in the low single digit, perhaps at the upper end of that difference is to the mid-single digit, but really hard to call. We don't give a specific guidance.
Daniel Jelovcan: Daniel Jelovcan, Stifel. Also on the reliability issue, I mean what is your learning curve, so to say, and in the new platform, how big is the risk or I mean, are we in the direction like the car industry, where you have recalls all time? Or is that -- first question.
Arnd Kaldowski: First, went had a recall.
Daniel Jelovcan: Sure.
Arnd Kaldowski: So I just want to be super explicit about it. I think what has happened to recap, we had an -- and that was not coming from the launch we had after a couple of quarters with for a period of time based on some production volume an increase of failure rate of 10%. Put that in perspective that over the years before, we reduced the failure rate by 30%, 40%, right? So I would call that somewhat of an increase, which you -- a couple of months later, have gotten back down after you found the source for the deviation? I think we're getting better and intensifying our testing, which I think before was already good. I think if you go back to VOC from a couple of years ago, we tend to be one of the leading players, if not the leading player in reliability. And I think the learning out of 1.5 years ago, but also our ambition to get better and we have significantly increased the testing with significantly increased the resources, we also work on components during the product cycle. Keep in mind, we have every two years a new platform, but we tend to sell a platform for four to six years, right? And if you can feed that into our go-forward production, you have a lot of impact. So I think you will continue to see us drive down the curve. Our ambition is to drive it faster than the others.
Daniel Jelovcan: And the second question to China. Can you remind us about the structure there? I mean, sales per shops are comparable to the Western world or probably lower because of a lower price, but they're more efficient. So some more color would be nice.
Arnd Kaldowski: So the Chinese market, first is super diverse. I can find a retailer to sell 30-40 units a year per store. I can find retailers who are above 100. In the Western world, in a highly efficient market, you would be in the 150 to 200. So let's say, the midpoint for the market is easily factor two or less and more lower, right? Now we said one of the reasons why we liked HYSOUND and we're happy when we could acquire it, at the high end of that range relative to any other player in China. And we have continued to be on that level, but it's not at the same level as we have in Germany or in the U.S. Pricing-wise, China is not such a bad market. It's somewhat lower in retail than Germany, which is the lower part of the European market, but not dramatically. So I think the way to a good profitability comes from the productivity in store coming from the lead generation capability and then the ability to deliver in the store. But right now, the Chinese market is the sum of our retailers is significantly low on profitability. There's also players who are currently putting a lot of point of sales out and do a little bit of a land grab strategy, partially private equity for this. So I think one really needs to look in which segment, who has high revenues, who has high unit volume. We feel good with the HYSOUND position, but we still have ways to go on driving the productivity in the lead volume per store.
Thomas Bernhardsgrutter: We'll take one more question from the room, and then we'll move to the phone.
Urs Kunz: Urs Kunz from Research Partners. Sorry, I have two questions. First question is regarding tax rate because it was kind of parcel because I thought would go up this over the year we had, and it went down again to 5.8%. Maybe we can give an outlook on '24/'25 on that? The second question is on the VA channel. You have market share of around 50%. Although our competitors are very interested to grab market share. There are any thought you have on where you feel like you could be in a year from now also including the new contract that's coming on in November?
Birgit Conix: I can do the tax one first. So what we saw this year were two elements. So one element was kind of CHF40 million related to the tax reform, the Swiss tax reform. So it's really to be considered as a one-off in '23, '24. And then the second element is our DTA built up on the balance sheet. So these tax losses carryforward actually. So that led to an effective tax rate of 5.8%. As you point out, which you would have expected to be higher. But going forward, we would expect a tax rate of 17% to 18%. And that would be normal because, I mean, the majority of our profit is in -- actually in Switzerland. And there, the tax rate goes from 11% to 15%. And then the rest of the world is, let's say, more or less at 27% when you do the math, that's where you get to. So that's what you will see going forward.
Arnd Kaldowski: On the VA, I think first VA has a particular channel dynamics. First, the audiologist, if you're on the list and on the menu, the audiologist doesn't worry about the economics, right? So they can fit what's best in their eyes for their consumer. Keep in mind, VA has a higher ratio in severe to profound because they have so many battlefield "experienced consumers." So that helps us become stronger on the severe-to-profound side from a speed enhancement perspective. I think the VA is also interested in a high fitting productivity. They do probably three times as many hearing aids a day than the commercial channel. So many people to take care of. So all of that is kind of a little bit of our sweet spot. Independent of that, we're super happy to be 50% for two years pretty much in a row despite other people launching their product. Now what's going to happen right now, new products came into the channel just a couple of weeks ago. that may give a little bit of a dip. I wouldn't expect a dramatic change. And then I think a new product with significant improvements with regard to hearing performance, noise the environment will get us back perhaps a little higher than where we were always hard to predict. It's really down the [indiscernible] on how we develop product.
Thomas Bernhardsgrutter: So with this, I suggest we switch to the phone line. Operator, can you please get the first question?
Operator: [Operator Instructions] The first question is from [indiscernible] with Barclays.
Unidentified Analyst: I have three, please. Firstly, could you talk about the Audiological Care business development from Q3 into Q4 and particularly into Q1 across some of your key markets. I know that France has called out as an area of softness from peers. And when we met last in March, you mentioned Germany was still muted. But how are you seeing these markets develop sequentially? And then secondly, could you talk about the building blocks of top line guidance by segment and geography and what is assumed from a share gain perspective from your launch and how much price do you expect over the course of the year. I appreciate the SKU is towards H2, but I didn't catch what you said around whether you expect the first half to fall within the guidance range for the full year or not? And then finally, can you talk about the composition of the broadly 50 basis points of margin expansion assumed at the midpoint of guidance for this year? If you have a more normalized growth in the businesses this year with FX going the right way, how are you thinking about potential upside risk to margins?
Arnd Kaldowski: On the Audiological Care, we have seen stronger markets in Europe being the Scandinavians, the Netherlands, also the U.K. many in France are still as a market more on the muted side. I think we see a gradual improvement relative to where they were half a year ago, nine months ago. And I think the improvement will be gradual. I think in Germany, you still have the headwind not six years. And I think in France, at least the ENT situation is still move in both pieces gradually. I think from the U.S. perspective, you've seen in the unit volume is more in the mid-single digit, a little bit on what jump -- really more a jump-off point discussion. If I look quarter-over-quarter, it's kind of a steady growth. China is a little bit more challenged as a market and volatility in there. The second question was on the demand.
Birgit Conix: On the top line, [indiscernible] on the [indiscernible].
Arnd Kaldowski: So good question, but we don't give guidance by segment in GRC. But I would say clearly, on the Hearing Instruments side in the second half year given that we talked about a new platform launch, you should have a meaningful step-up. I think Audiological Care was pretty steady over the last couple of quarters. We do bolt-ons at the normal level. We do see good organic growth, and that's driven by improvements in store conversion, but also lead generation. So would find a more steady relative to what we've done in the -- think consumer hearing business is hard to call. As I said, it's good to see that the sellout data is higher than the sell-in, that should eventually come through the channel. And then cochlear implants, I think directionally, I think the second half year gave us some confidence to see us in that. On the margin expansion side, the composition, I think less of a price dynamic at least relative to inflation, just keep in mind, we are in still quite some inflationary environment, particularly on the compensation side. We're still elevated to historic numbers. You're talking 4% or more on average. So I need to make that up somewhere in the broad activity. I think on the direct material, we're fine. We're seeing some procurement benefits year-over-year, as you would expect in the electronics. But keep in mind, we have a pretty big OpEx block given that we have a large number of stores. So I think price will compensate for the headwinds we have from the salary increases order magnitude. I think clearly, the volume will generate some fall through, but we also do plan to continue to invest into our growth drivers and feet on the street and in the innovation side. I think structurally, you're going to have a positive starting to roll in from the new plan we have in [indiscernible], which is now coming up to scale. And that allows us to shift significant part of work into really lower cost environment than what we have in the U.S. or even in China.
Unidentified Analyst: That's very helpful. And sorry, just to clarify your comment on the first half, both top and bottom-line guidance. I couldn't hear it clearly earlier.
Arnd Kaldowski: Yes, I was not giving a specific number on where we end up in the range. I did say that if you look at historical figures, you're somewhere in the low single-digit difference who ma get a little bit closer to the mid-single digit depending on the strength of the product launch. Keep in mind, the HI business is "only" 45% of the total revenue, and the rest is more steady.
Operator: The next question from the phone is from Julien Ouaddour with Bank of America.
Julien Ouaddour: So the first one, so I mean your contract with a large U.S. retailer, that's good, like this had indeed more than 18 months ago now. I mean you haven't announced returning to this challenge today. Are you still working to get back with this customer? Or should we just conclude that just negotiation have stopped. And so is there anything included in the -- like in the guidance for this year? A quick follow-up on Asam's question in like Audiological Care. So we've seen a sort of more challenging lead generation in like in certain markets in H2. So could you -- I mean like we confirm like in which market specifically? And I think one of your comments also stress that, but when we observe the global market leader in retail, I mean the Company performed pretty nicely and didn't stress to have any lead issue. So how can you explain the difference? And the third question is that like your main [indiscernible] have launched a new hearing us platform with a low energy Bluetooth protocol as opposed to your like universal Bluetooth technology. So do you think it's the right moment for you to embrace this technology as well, even if it could impact your connectivity advantage versus computers? And if not, just -- I mean, should we take a bit more years before the device installed base be comfortable already with that?
Arnd Kaldowski: Thank you. On the large loss customer, there's nothing to be announced today. Therefore, I will not. Secondarily, I would be a bad leader of a business if I wouldn't have my sales team working on large opportunities. So in that regard don't read anything into not having announced anything. Secondarily, what was the second question? I need to [indiscernible].
Birgit Conix: Second question is a challenging lead generation.
Arnd Kaldowski: Yes, it's -- we may not be explicit enough in our words. From a lead generation cost, we're looking at similar costs from 2023, '24 -- '22,'23 to '23,'24, we have assumed we see lower lead gen cost because we thought that in a high inflation environment, even how they get people to the stores. So we haven't seen a significant increase. We're also optimizing our portfolio of lead generation. So in that regard, call it flat, but the reason why we made an adjustment towards EBIT profit expectation was we had basically a year on the assumption that we see already an improvement. We haven't seen it's pretty much the same number. I didn't want to create confusion there. I will really [indiscernible].
Birgit Conix: And the third question was on Bluetooth.
Arnd Kaldowski: On the Bluetooth. Yes, for us, not actually the time to switch from MFA to our cost. I think you're well advised to being technically capable. That gives peace of mind to the person who buys, but in reality, the number of devices which can connect to our [indiscernible], right? And we don't miss any major functionality. Now you can come to broadcasting, which is the only significant improvement in our class versus what our MFA can do. But now in broadcasting, you're still stuck with. There's a lot of cinemas or churches, which have the repeater, right? So you're not in the world we have broadcast to walk into a building and it works with our cost, that will take a couple of years. And then you don't have many end devices which currently connect to Bluetooth, to a low energy Bluetooth audio. So in that regard, I think we're in a very strong position. MFA works with almost all end devices you can imagine. It does have very good connectivity. It does offer all of the functionality, the hearing care professional does not need to lose sleep when they try to sell a device, which, by the way, is not easy because many people choose to still don't buy. And then I'm kind of trying to second guess is this telephone working with it, yes, no, right? I would just not like to have that in my sales process personally, right? So in that regard, we'll be a late adopter, but we will be ready I am very convinced we will be ready at the moment where these curves are starting to become relevant.
Julien Ouaddour: Perfect. Perfect. And just for the first question on [indiscernible]. Can you maybe comment about where like the negotiation are at the moment? I mean is this becoming a bit more constructive? Or I mean...
Arnd Kaldowski: I don't think we're in a position where we would ever share any specifics on negotiations with any specific customer. I don't think you would expect that to be the way to handle negotiations. Sorry for being frank.
Operator: The next question from the phone is from Graham Doyle with UBS.
Graham Doyle: Just two, one is sort of a follow-up to the questions asked in the room or Randy's restructuring charges. Just to clarify, did you suggest that at some point they -- these do recur, they actually might be put into the adjusted cost base? And then the second one is just around the guidance for 2025. So you've obviously come in towards the lower end of the revised guidance for '24. And it looks like competition is pretty aggressive this year, at least as everyone's guidance would imply. And the market feels a little bit in transition given you've got a slightly softer U.S. or at least not the same momentum as last year on a mixed European market. So what -- where do you think you are in confidence levels for this step-up in sales through the year versus, say, last year, which implied a sort of similar sort of guide? So we could get a sense of what's driving that confidence on how do you feel versus last year?
Arnd Kaldowski: I think on the restructuring charges, we will find a way to navigate out of the way we're reporting at this point of time over the next period. I think you can see that we're giving already a direction on what we think it is this year. It's never exact because some of the things happen based on projects on certain time lines. You also need to keep in mind that when we start to talk about it, we have lots of internal people who ask us, what are you going to spend money on and then people are worried when you hadn't started the internal communication. So this is a tricky one. But in general, we wanted to give some direction, right? I think at the end of that process, I think our current vision is that we will move that out of the way we communicate. That will be probably still an element of adjustment if it comes to legal cases and whatever may be quite fluctuating. But from a restructuring perspective, we're thinking through and how do we get out of that kind of budding situation.
Birgit Conix: Yes. And when I mentioned the numbers earlier, the CHF30 million to CHF40 million was on the total adjustment, that was not the restructuring part [indiscernible] CHF34 million in [indiscernible].
Arnd Kaldowski: There's a component on integration elements still where we're bringing together on Alpaca, some of the back office, which has been fully concluded. There's still some work on the HYSOUND side, which is running through. And then there is a component on what we assume on the legal cost side now. We have certain situations with the field corrective action and CIs, which flows to the numbers. And then we also have legal situations with regard to an open situation. Not all of that is restructuring, we assume to be the total [indiscernible]. With all of the ambiguity if something else happens.
Thomas Bernhardsgrutter: The second question was on your confidence this year on the guidance versus last year.
Arnd Kaldowski: I feel -- and I think Birgit feels the same way. We feel pretty good about the market assumptions. I think our market as long as the inflation doesn't spike up to 6% or 7%, which we do not expect. I wouldn't know how, although we didn't know two years ago, but allow us -- that would be kind of a single incident nobody is expecting. But otherwise, our markets are pretty robust. And I think we're running in this now since a couple of quarters, right? And yes, there's a little bit up and down in certain regions and whatever, but not something which would magically make the global number 2% higher or lower, right? On the -- on performance, I think going by the steady improvements we've seen in the areas where we were not satisfied a year ago with our performance six or nine months ago, pretty good on the run rate, and then comes always as we add into a year of a platform launch, how do you feel about the platform launch? You heard what I said about it. I think it's an important one. It's a more important one than the ones we've seen in the recent years. So in that regard, I would say our confidence is pretty good.
Thomas Bernhardsgrutter: I would suggest if there's any questions in the room, we switch back to the room. Is there any additional questions? Yes, there are other questions from the phone.
Arnd Kaldowski: Yes. There's one from the floor.
Unidentified Analyst: One of your competitors decided to go very selective on managed care accounts and not to provide the high-end brands into managed care. Two questions to that level. One, are you starting to see a benefit from this decision on your volumes? And the second question is -- are you in a position where you would consider playing your brands more in a more dedicated way, maybe with the large customer, as has been discussed by [indiscernible].
Arnd Kaldowski: So we may have a different interpretation on managed care or the attractiveness of managed care. I think in our minds, we first need to understand where we have our own audiological care. But by the way, you get two parts of the equation, you get the fitting fee you also get the wholesale revenue, which does come at a good margin, and I would say better than the average global market for pretty high volumes. And so in those cases, it's quite attractive. And if it's your own retail, you on the menu, guess what, in very much almost every case, you're going to set you on [indiscernible]. And then you come to the part of the market where you're providing a product in the wholesale environment. And I think it is a good price for the product, at least if I compare it to any other large customer, right? So in that regard, no intention to make a significant change to our strategy. It's interesting that other people do that, and that's good. They are different strategies lead to different outcomes, I guess, and then we will measure in two to three years. From a benefit perspective, I think it's fair to assume that if somebody is off the formulary. People still fit the hearing aid and somebody else picks up the volume. And so I would think that me gets distributed, depending on whatever the independent or the retail store prefers over the one which is not listed anymore in terms of incremental volume. Right now, comes the other discussion you can have is that going to impact the market share of what the independent fit. I think that's the calculus on the other side. I think at the end of the day, we feel good about our technology, and we think that the independents who fit our device is actually. So we end at a different place in the [indiscernible].
Thomas Bernhardsgrutter: Operator, I think we are ready for the next question from the phone.
Operator: The next question from the phone is from Veronika Dubajova with Citi.
Veronika Dubajova: I have two, please. My first one is just to push you a little bit more on the question that I think Graham asked earlier, which is what does the guidance assume about the competitive environment? I guess, if I listen to your commentary, rent, it seems like your expectation is very much once you launch the new platform, you would expect growth to accelerate meaningfully above market. Maybe you can kind of give us various scenarios that you're considering as you think about the product launches that we have seen most recently and to what extent those are factored in the low end versus the top end? And maybe just your general thoughts on intent in particular since [indiscernible] the Company that you often go both head-to-head. And then my second question is a little bit less yield, but we've had lots of debates around this with regards to your peers. And I'm just curious whether you remain committed to the consumer hearing business, especially given that OTC hasn't really progressed in a meaningful way since the category started or at least it hasn't for you specifically. And I'm curious kind of how you're thinking about keeping this business with a high degree of volatility and fairly low returns and profitability within the portfolio, given that we've seen one of your peers directly step away from that?
Arnd Kaldowski: Thanks Veronika for the questions. On the product launch, after launching a product with meaningful technology elevation, we would expect good market share gaining performance, with other product launches, I don't think Lumity is a good comparison because we had a set of issues in a market with reaction to price points and some other concerns on the reliability. So some way into the paradise probably mobile environment is kind of [indiscernible] environment. So that was meaningful market share gain in the second half. As long as nobody else comes out with a mouse trap, which is even better, right? I think with regard to the consumer Hearing business, I think we feel good about the market share gainability minus the MTW 3. I think, yes, we see a higher volatility. That's not something we necessarily like. Volatility doesn't mean the average growth rate is low. It may mean that it sometimes goes stronger up and stronger down. So right now, we can live with the volatility. Keep in mind, it's not the largest business we have. I think on the OTC and the early entry devices as much as we were never the people who said this is going to take over the market in a storm, I would also not give up that direction in any shape or form. I think it was always logical to us. And if you listen to anyone who is in that market, there are consumers out there for whom self-fitting is a good early entry coming earlier to the category. I think we need to find out [indiscernible] as an industry, what is the right channel, right now, it looks more traditional store not so much online, if I look at lead generation costs, then you need to kind of build that muscle. You need to get into those stores. You need to have a good offering, and it's going to be a lower curve. But if in five years, this is a meaningful number of people coming three years earlier. You would like to be their provider if you also have your audiological care network. So in that regard, I think not worried about being able to produce a meaningful top and bottom line performance on the consumer hearing investments despite the revenue headwinds right now. And on the other hand, early entry devices, if you call them early entry but it's not just OTC, by the way, then they are relevant for other markets, including China, right? Still an important thing to figure out at the end of the day, if it works, we'd like to be clearly in that.
Thomas Bernhardsgrutter: We have a few more people in the question queue from the phone, so I suggest we continue with the phone.
Operator: The next question is from Hugo Solvet with BNP Paribas.
Hugo Solvet: I have three, please. First, on margin. Could you give, please, some more indication on the phasing of margins H1 versus H2? And is it likely or even possible that we see margin flat or slightly down year-on-year for H1? Second, you mentioned share buyback program returning. You also mentioned that it would depend on any large potential acquisition. Can you maybe give us a bit of context around the size of a large acquisition for you. And I think you still have over CHF1 billion of share buyback that still need to be activated. What number should we look at? And lastly, on the acceleration of growth. Just curious what you assumed for Audiological Care in France in terms of upside from renewals after the four-year period that should start to kick in at [indiscernible] of the year?
Arnd Kaldowski: The margin side, I assume you meant EBITDA margin, not gross margin. So on the...
Hugo Solvet: No, EBITDA.
Arnd Kaldowski: Yes. On the EBITDA side, again, don't want to be teethed into giving exact numbers between half year because that's something what we published. But I think if you're looking at your first half year and you look at a somewhat lower revenue, you would expect your margin expansion is probably not necessarily in the numbers, right? And then you get to the volume effect in the second half, hoping you with regard to the predicted full year margin expansion. That's just order of magnitude. On the...
Birgit Conix: Yes, the second question...
Arnd Kaldowski: SBB.
Birgit Conix: On the SBB. So there was the expectations on the share buyback for the -- so what we expect is that we may resume the share buyback in the second half of fiscal year '24,'25. And I would say it also depends on, of course, the development of the free cash flow in Swiss franc because we saw that also for the past fiscal years, there would be one element. And the other element would be just absent of any larger acquisition, of course. But given the confidence that we have in the numbers, we would believe that I mean we would expect that we would be able to assume. I think that was the question or was there anything else on the question?
Arnd Kaldowski: I think that was also the question on the 1.5. So the way that [indiscernible] is structured is up to 1.5, but it was very clear boundary conditions. We said between 1x and 1.5x leverage, absent of larger M&A, right? So don't assume we're now trying to get to 1.5 because the guiding rule is the leverage we feel comfortable, right? So now you can run the numbers. If the FX stays at the same ZIP code where it is right now, we get a positive in free cash flow versus prior year because last year, we lost more than CHF100 million just on right? So that may be a good guy. You need to get to the bottom line guidance. On the M&A, your question was what do we define as a large M&A. I think if you just run the numbers, if we're getting into something like an Alpaca where we deployed auto magnitude CHF300 million, and that's kind of the free cash you're generating, right? So that's more than the free cash you're generating on top of the dividends. So in that regard, large would be something where you talk triple-digit number on top of the bolt-ons. Then you start to get into a territory we start to have to think about it. I think the other big unknown effects right? We're starting at a clearly better territory than last year because last year, we already knew we had a significant headwind on EBITDA. This time that's going to be at least starting point better, but it is volatile. And it cost us last year CHF100 million on free cash flow.
Hugo Solvet: And maybe what do you assume in terms of renewal rates in France towards the end of the year?
Arnd Kaldowski: I think the first one for us, France, fortunately. And unfortunately, on the Audiological Care, it's not such a big business. There's many other players who have significantly larger audiological revenues. I think the market has started to get into flattish territory slightly positive from what I can tell out of the market data in the last couple of months. So that's the current run rate. If you go to the four-year time after the start of the new reimbursement, you're obviously getting a positive spike there from significantly larger number of people coming to your renewal customers, right? So you should expect when that happens, and I think that's in 1.5 years. I remember correctly, order of magnitude, you would expect in 1.5 years that you get another kind of growth spurt on top of what was the run rate in the year before.
Operator: The next question comes from the phone is from Oliver Metzger with ODDO.
Oliver Metzger: I have three. The first one is in hearing instruments in H2, was there still some positive impact from price increase in the past? Second question is on your upcoming platform launch. So from a generation perspective, your new platform should consist also for new chipset. So can you already talk about the architecture of the chipsets? Aren't you talked about strong focus on hearing in noise capabilities, which is eventually also linked to the design of a chipset? So it would be great if you can make any comment whether it has been necessary to change the architecture or base design of a chip set still sufficient or good, good enough that you can change the [indiscernible] in some years when you move from made for all to low energy. And my last question is about the Internet-based dispute of hearing aids. So for years, it was very unworked to talk about all the Internet-based hearing aid sales. So it has come down as the generation costs are high. But basically, U.S. global number two in retail, where do you see the market movement. In niche -- it remains in niche [indiscernible]? Or what are your expectations in that?
Arnd Kaldowski: You, Oliver, for the question. On the third one, I didn't understand what segment you're talking about on the retail.
Hugo Solvet: Internet-based distribution.
Arnd Kaldowski: Internet-based.
Birgit Conix: I can take the price one, maybe the first one. So the -- so you asked about price and whether that was more in the first half or the second half. So the lift that we saw in gross profit was primarily in the first half of fiscal year '23, '24.
Arnd Kaldowski: On the product, I don't want to go through deep into architecture, but a significant increase on processing power, as I have laid out, would kind of indicate that you need to have a container where that processing power happen, right? So I hope that's sufficient answer there. And if you look at our road map over time, I think eventually, we need to get to higher processing capacity on the device. In the online or Internet sales of hearing , there is no meaningful volume for a regular hearing aid online in any of the markets. I think if you buy a PSAP or an amplifier, sure, that goes online. If you buy a self-fitting device in the U.S. called OTC, yes, some of that goes online. The challenge there is the lead generation cost, as I said earlier, seems to be higher than in store. So right now, more of the volume of OTC in the U.S., which is 3% to 5% of the true unit volume in value lower happens more in store in the Best Buys of this world and Targets and whatever because that seems to be more cost-effective than if I have to go through Facebook and Google. So in that regard, it is a lease and where people do that. And we see this in some markets that somebody buys from the wholesale at a hearing aid and then they sell it online, but then they don't have really good service offering in the back and then the consumer tries to find somebody for the second or third fitting. We haven't seen anyone who has been able to set that up. I think the device is not meant to be that way. I think people want to have adjustments in real life. That's what our learning is except for the people who really take a fully self-fitting device with all of the caveats currently on the volume in the U.S. By the way, just a historical fact. Sonova was my knowledge, the first of the large players, 15 years ago, bought an online sales for hearing aids and we learned a lot on that journey. And at the end, it became a lead generation engine for our own retail, but not a place where we do final sale.
Thomas Bernhardsgrutter: I would suggest we take the last two questions from the phone and then last chance for people in the room before we finish.
Operator: The next question is from Robert Davies with Morgan Stanley.
Robert Davies: Most of them have been covered. I just had a couple. Just wanted to pick up on your comments earlier about the French and German market and thank you, expecting some of the one-offs to roll away this year. Have you actually seen kind of growth trajectories improve in both of those markets already? Or is that something you're expecting to see over the next 12 months? That was my first question. And then the second one was just, maybe just circling back on the new product launch or the potential new product launch, I guess, just in terms of what customer feedback being when you've done just the market research of the sort of biggest sort of gaps in the market, there's been a couple of new products come -- being launched in the last sort of six months or so. Has that sort of changed your course of thinking of what customers are wanting or what you're hearing from customers in terms of what they're not happy with?
Arnd Kaldowski: In the U.S. and France, it's a little volatile, but in general, we have [indiscernible]. On the what customers are looking for. It's interesting. The holy grail continues to be hearing better. And if we do VOC, where 95% of the people we ask always mark high is the five things we asked around hearing better in this situation, in this situation. And I think the reality of our industry is everybody would say, hearing aid has so much better than 10 years ago. By the way, my mom wears them since 15 years, so I can ask her. And then she says and other people say, there are still these moments where I don't hear well, right? So I think as long as that's the case, if we can advance speech performance going to be great if it's a big step forward, it's going to be even better, right? On the rechargeability, on the connectivity, people have what they need at least if they can connect their device. We have the advantage with MFA versus MFI. There are things where people would like to see less what they call dropped calls, things we hear or connection lost because of the cell phone being in the pocket the hearing aid on the year. So a more power or more connection stability is something people would appreciate. I think a bit headache for the hearing care professionals is connecting with devices. It's the one thing we hear the most on the hearing care professionals that they spend so much time having to help the person on connecting the device, figuring it out and they get lots of different end devices and they don't know how to do that. The person doesn't often hearing care provision doesn't -- so these are more the ease-of-use discussions. But at the end, I think the biggest moving item is a significant improvement in noisy environment for all use cases [indiscernible] being after.
Operator: The last question from the phone is from David Adlington with JPMorgan.
David Adlington: A couple one clarification and one housekeeping question. So the housekeeping question first. I know there's likely to be some volatility around FX hedging, but I was wondering if you could give us any help on the net financial income line, please. And if currency rates stay as they are or how we should be modeling that for the full year? And the second one is just to pin down a little bit in terms of what's included in the guidance, does your guidance include reentering into Costco? What is it not? And if it doesn't, therefore, should we assume upside if you do manage to announce another contract?
Arnd Kaldowski: You want to take that?
Birgit Conix: Yes. So you're talking about the financial income and expense line. So there -- so we do have some hedge costs in there, some interest costs indeed. And then we also -- for the fiscal year '23,'24 had some valuation of financial assets and liabilities. There was also a portion. That's why it was a bit less than the normal run rate that we see in other years. That's about it if you talk about that line. But [indiscernible] do not hedge the P&L, as you know, but you were more talking about the line in the P&L statement, right?
David Adlington: Correct. That really give a quantum of what we might be using our models there.
Birgit Conix: Yes. So it will be higher again, so in '24, '25 higher versus '23,'24 where we had some -- where it was somewhat lower.
Arnd Kaldowski: On winning large customers, no matter which one, if we're not at a position to say that we have one customer, we would like to include them in the guidance. I [indiscernible] thing to do. So therefore, don't assume any major customers who are not yet customers of ours being in the guidance. How would I think about a specific customer? That's difficult because [indiscernible] timing secondarily and what's the way of entering and so on. The only thing I can say, if I would be trying to guesstimate it, I would need to pick a date. I can't help you on that one. And then I would need to pick what share wallet doesn't anyone get, right? And so if somebody would have four manufacturers present probably the prudent thing is to assume that it takes a while to get to your fair share. But that would be my advice. I can give you need to pick the time line, need to know in that customer, how many people do you think will be available suppliers. But I think also the experience we have, if you get into a channel, it does take a while until you convert the filers who've gotten used to the people they're using today. So I wouldn't expect dramatic spike, I would expect a good S curve. But that's true for any large [indiscernible]. Especially if they're not steering. Some people who are steering right? There would be some large customers which are steering, but many don't, if that customer has known to letting it run and you're going [indiscernible].
Thomas Bernhardsgrutter: So we come to a less chance for any final questions in the room. Is there any more questions?
Unidentified Analyst: Just simply on the sales guidance, the 6% to 9%, how much is M&A based on today's funnel? Maybe I have overlooked it, but that...
Arnd Kaldowski: Around the tender can be up to 1.5 or so. But if you look at the deployment and you look at the size of our business, in the 1% to 1.5%.
Thomas Bernhardsgrutter: Anyone else? If not, I give the word back to you for final words.
Arnd Kaldowski: We are done? Thank you for your interest. Thank you for the active questions also from the people on the call. We have laid out when we plan to have our Capital Markets Day in Stafa. We would love to see many of you come back. We're going to put good updates on strategy and other elements into the mall there. Travel home safely for the ones who came in person, enjoy the weather. Thank you.
Birgit Conix: Thank you.